Operator: Good morning. My name is Pam, and I will be your conference operator today. At this time, I would like to welcome everyone to Tennant Company's Second Quarter 2025 Earnings Conference Call. This call is being recorded. [Operator Instructions] Thank you for participating in Tennant Company's Second Quarter 2025 Earnings Conference Call. Beginning today's meeting is Mr. Lorenzo Bassi, Vice President, Finance and Investor Relations for Tennant Company. Mr. Bassi, you may begin.
Lorenzo Bassi: Good morning, everyone, and welcome to Tennant Company's Second Quarter 2025 Earnings Conference Call. I'm Lorenzo Bassi, Vice President, Finance and Investor Relations. Joining me on the call today are Dave Huml, President and CEO; and Fay West, Senior Vice President and CFO. Today, we will review our second quarter performance for 2025. Dave will discuss our results and enterprise strategy, and Fay will cover our financials. After our prepared remarks, we will open the call to questions. Our earnings press release and slide presentation that accompany this conference call are available on our Investor Relations website. Before we begin, please be advised that our remarks this morning and our answers to questions may contain forward-looking statements regarding the company's expectations of future performance. Such statements are subject to risks and uncertainties, and our actual results may differ materially from those contained in the statements. These risks and uncertainties are described in today's news release and the documents we file with the Securities and Exchange Commission. We encourage you to review these documents, particularly our safe harbor statement, for a description of the risks and uncertainties that may affect our results. Additionally, on this conference call, we will discuss non-GAAP measures that include or exclude certain items. Our 2025 second quarter earnings release and presentation include the comparable GAAP measures and a reconciliation of these non-GAAP measures to our GAAP results. I will now turn the call over to Dave.
David W. Huml: Thank you, Lorenzo, and good morning, everyone. Thank you for joining our Q2 2025 earnings call. Today, I'm excited to share our second quarter highlights, progress on our enterprise strategy and our outlook for the remainder of 2025. Our Q2 results aligned with expectations, keeping us on track to deliver full year guidance as we continue to return to normalized seasonal product and channel mix patterns. We achieved net sales of $319 million, representing an organic sales decline of 4.5%. It's important to note that we are lapping the prior year quarter that benefited from a $26 million backlog reduction, concentrated in North America and comprised of higher-margin industrial machines. As evidenced by order rates, our underlying business performance remains robust, primarily driven by demand strength in North America. Enterprise-level order rates increased by 4% compared to the prior year quarter, marking our fifth consecutive quarter of order growth. Year-to-date orders grew 8%, positioning us above the growth rate needed to deliver our full year guidance. Additionally, our book-to-bill ratio remained above 1 as order patterns returned to normalized seasonality. While demand has been generally resilient, we continue to see pockets of weakness in our international markets. Turning to our performance by region. In the Americas, orders increased by a strong 9% compared to the prior year, led by North America, where we saw double-digit order growth. This sustained momentum from Q1 reflects the impact of our strategic investments in sales and service, new product introductions like the X4 ROVR and the strength of customer preference for our industrial product portfolio. Strong order activity reinforces our confidence in sustained demand and further strengthens our leadership position across the region. Organic net sales declined 5.5%, primarily due to lapping last year's significant backlog reduction in North America and ongoing demand softness in the Mexico market. In EMEA, organic sales declined 1.4% with orders down 7.4%, reflecting varied results by country and a highly competitive environment in the region. Revenue declines were primarily isolated to Germany and the Middle East region, partly offset by strong performance in the U.K. and Iberia. Foreign exchange provided a positive 5.3% benefit as the euro strengthened against the dollar. Looking ahead, we remain confident in our strategic plans to drive performance in the second half. In APAC, organic sales declined 5%, with orders down 3.5%. In Australia, we saw volume growth driven primarily by equipment, reflecting resilient customer demand despite growing economic uncertainty. However, this strength was more than offset by ongoing demand softness in China, where elevated competitive pricing continues to weigh on performance. Challenging market dynamics in APAC are expected to persist with no growth anticipated for the full year. At the enterprise level, our 16% EBITDA margin was in line with expectations. Gross margin was impacted by product mix, reflecting a return to normal seasonality as well as ongoing cost pressures. However, pricing actions and disciplined cost management supported EBITDA performance consistent with our guidance range. Turning to a brief update on our enterprise growth strategy. Our pricing initiatives delivered results in both the Americas and EMEA, contributing a 1.8% impact at the enterprise level in Q2. This primarily reflects price increases implemented early in the year as Q2 North American tariff-related increases only began reading through in June. We anticipate price growth for the remainder of 2025 to align with our long-term target of 50 to 100 basis points annually. New products continue to be a key driver of enterprise growth with both our product line extensions and our AMR products delivering in line with our expectations. We maintain a strong opportunity pipeline for the ROVR platform. The successful early quarter launch of the X6 ROVR midsized robotic scrubber received positive market feedback, strengthening our presence in large retail and small to midsized industrial sectors. AMR sales accelerated to 6% of enterprise net sales in Q2 2025 with cumulative deployed units exceeding 10,000, highlighting AMR as a key driver of our long-term growth. In June, we announced the launch of our new outdoor sweeping machine, the Z50 Citadel Outdoor Sweeper, a market-leading solution purpose-built for industrial and municipal outdoor environments. The Z50 marks Tennant's entry into the outdoor sweeping market, expanding our total addressable market and introducing us to a new set of customers. With advanced dust and debris control, intuitive operator features and robust performance, the Z50 is designed to meet the needs of demanding outdoor applications. With this strong pipeline of innovations, we remain on track to achieve our long-term goal of driving 150 to 200 basis points of annual growth from new products. With our robust organic growth strategy reading out, we continue to actively pursue M&A opportunities that complement our long-term objectives. In line with our capital allocation priorities, we are supporting near-term business needs while returning capital to shareholders through dividends and share repurchases. Now shifting to guidance for the remainder of the year. As we enter the second half of 2025, we expect many of the same challenges to persist, including macroeconomic uncertainty and tariff-related pressures. We are closely monitoring market demand and taking proactive steps to limit potential trade war impacts on our P&L. Our pricing actions, along with procurement and supply chain initiatives are currently positioned to effectively manage tariff-driven cost inflation in the full year, contributing to our financial resilience. I remain confident in our growth strategies and in our team's agility to navigate the current environment of uncertainty. Based on our Q2 performance and current outlook, we are reaffirming our full year 2025 guidance. And now I'll turn the call over to Fay for a deeper explanation of the financials.
Fay West: Thank you, Dave, and good morning, everyone. In the second quarter of 2025, Tennant delivered GAAP net income of $20.2 million compared to $27.9 million in the prior year period. Net income for the quarter was impacted by volume declines across all geographies, particularly in North America, where we are comparing against a prior year that benefited from a significant backlog reduction. This backlog was primarily in higher-margin industrial equipment sold through direct channels, which impacted our gross margin performance in the quarter as compared to the prior year. Beyond operating income, our effective tax rate was 26% in the second quarter of 2025 compared to 24.4% in the prior year. The rate increase resulted from a discrete tax benefit tied to share-based compensation in the prior year that did not occur in the second quarter of 2025. Income tax expense was $1.9 million lower compared to the second quarter of 2024, primarily due to lower operating performance. Additionally, interest expense was slightly lower than the prior year period. Adjusted net income, excluding non-GAAP costs such as those related to our ERP project, resulted in adjusted EPS of $1.49 per diluted share for the second quarter of 2025 compared to $1.83 per diluted share in the prior year period. Looking a little more closely at our quarterly results. For the second quarter of 2025, consolidated net sales were $318.6 million, a 3.7% decrease compared to the $331 million reported in the second quarter of 2024. Currency movements, notably the euro's appreciation against the U.S. dollar provided a favorable tailwind of 0.8%. Excluding this currency benefit, net sales contracted by 4.5%. This constant currency decline was primarily attributed to a 6.3% reduction in sales volumes across all regions, which outweighed the 1.8% positive contribution from strategic pricing initiatives implemented during the period. As a reminder, we group our net sales into the following categories: equipment, parts and consumables and service and other. In the second quarter, overall equipment net sales decreased 6.5%, primarily driven by a decline in industrial equipment sales. In contrast, both the service and parts and consumables categories experienced growth compared to the prior year, with service sales increasing 1.4% and parts and consumables growing by 1%. Shifting to regional performance. Organic sales in the Americas decreased 5.5% compared to the same period last year. The decline in net sales this period was primarily driven by lower sales of industrial equipment as we lap a significant contribution from backlog in the second quarter of 2024. This was partially offset by price realization and volume growth in Commercial Equipment. Outside the Americas, organic sales decreased 1.4% in EMEA, primarily due to volume declines in Germany and the Middle East region. These declines were partly offset by volume increases in the U.K. and Iberia and price realization. Organic sales in APAC decreased 5%, primarily due to lower volumes in China due to continued competitive pressures. This was partly offset by higher equipment sales in Australia, where demand remained resilient. Gross margin was 42.1% in the second quarter, a 100-basis point decrease compared to the prior year quarter. This decrease was primarily driven by shifts in our product and customer mix as well as ongoing inflation and lower productivity. From a product perspective, last year's gross margin performance benefited from a large concentration of higher-margin industrial products sold through direct channels. This was partly offset by price realization. S&A expense totaled $93.7 million in the second quarter of 2025; a $0.8 million increase compared to the second quarter of 2024. This increase was primarily driven by higher costs linked to our strategic investments, including ERP costs and by a bad debt charge and was partially offset by lower variable compensation expenses and discretionary spending. Excluding non-GAAP costs, adjusted S&A expense in the quarter totaled $86.9 million, a $0.6 million decrease compared to the second quarter of 2024. Adjusted S&A expense as a percent of net sales increased to 27.3% compared to 26.4% in the prior year period. This deleverage was primarily driven by a bad debt charge related to an insolvent distributor. Adjusted EBITDA for the second quarter of 2025 was $51 million compared to $58.6 million in the second quarter of 2024. Adjusted EBITDA margin for the second quarter of 2025 was 16% of net sales, down 170 basis points compared to the 17.7% recorded in the prior year period. Turning now to capital deployment. Net cash provided by operating activities was $22.5 million during the second quarter, a $3.9 million increase compared to the prior year period, primarily driven by a smaller net investment in working capital and partly offset by higher spend on our ERP project. We generated free cash flow of $18.7 million in the second quarter, including ERP spend of $16 million. Excluding these nonoperational cash flows, we converted 137.2% of net income into free cash flow during the quarter. We remain on track to achieve our 2025 goal of converting 100% of net income to free cash flow. The company continues to deploy cash flow towards operational capital needs and to return capital to shareholders in line with its capital allocation priorities. During the second quarter, the company invested $3.8 million in capital expenditures and returned $18.8 million to shareholders through share repurchases and dividends. Tennant's liquidity remains strong with a cash and cash equivalents balance of $80.1 million at the end of the second quarter and approximately $434 million of unused borrowing capacity on the company's revolving credit facility. The company continues to effectively manage debt and maintain a strong balance sheet. Our net leverage was 0.66x adjusted EBITDA, providing the company with increased flexibility and capability to fund growth through M&A and create value for our stakeholders. Moving to 2025 guidance. As Dave mentioned, discussions around global tariffs remain active and ongoing trade tensions continue to fuel economic uncertainty. As we enter the second half of 2025, we expect many of these same challenges to persist, including macroeconomic volatility and tariff-related pressures. That said, we're closely monitoring market demand and proactively taking steps to limit potential impacts on our results. As we head into the second half of the year, we have reassessed our outlook on tariff-related impacts. Based on current tariffs in place, we estimate a full year 2025 impact of approximately $20 million or around 3% of our total cost of goods sold. With the combination of strategic supply chain actions, targeted procurement efforts and market-based pricing initiatives, we remain confident in our ability to manage and offset tariff-driven cost inflation. While we continue to navigate an uncertain macroeconomic backdrop, our focus remains squarely on growing net sales in the second half of the year through sustained order growth and continued price realization. Additionally, we anticipate that cost improvements and increased productivity will drive margin expansion in the back half of the year. The collective impact of these actions, including those to address tariffs, underpin our expectations of delivering our full year 2025 results within our guidance range. For 2025, Tennant reaffirms the following guidance: net sales of $1.210 billion to $1.250 billion, reflecting organic sales decline of negative 1% to negative 4%. GAAP EPS of $3.80 per share to $4.30 per diluted share. Adjusted EPS of $5.70 per share to $6.20 per diluted share, which excludes ERP costs and amortization expense. Adjusted EBITDA in the range of $196 million to $209 million; adjusted EBITDA margin in the range of 16.2% to 16.7%. Capital expenditures of approximately $20 million and an adjusted effective tax rate of approximately 23% to 27%, which excludes an adjustment for amortization expense. With that, I will turn the call back to Dave.
David W. Huml: Before we conclude and open up for questions, I want to thank our global Tennant team for their outstanding execution and commitment. Your focus on delivering results, driving efficiency and serving our customers with excellence continues to set us apart. To our customers around the world, thank you for your ongoing trust in Tennant. We're proud to be your partner and are committed to earning that trust every day as we support your success. I believe our performance this quarter reflects the momentum behind our enterprise growth strategy, the strength of our operating discipline and our ability to successfully navigate dynamic market conditions. We are tracking well against our 2025 financial targets and remain focused on driving profitable growth, expanding margins and delivering strong returns. Our opportunities ahead are compelling, and we are well positioned to capitalize on them. With that, we'll open the call to questions. Operator, please go ahead.
Operator: [Operator Instructions] And your first question comes from Steve Ferazani with Sidoti.
Stephen Michael Ferazani: Appreciate the detail on the call. Dave and Fay, you mentioned the sort of growing global uncertainty around tariffs. Certainly, there's concerns around U.S. economic growth and a potential slowdown. Historically, your first half and second half have looked similar. Obviously, the guide implies a much stronger second half. Confidence level on that and how you get there given the sort of economic uncertainty?
David W. Huml: There's no shortage of economic uncertainty, and you noted tariffs in particular. I think there's 2 components to the tariff conversation as we talk to customers; one is they are trying to assess the tariff impact just like we are and establish their offsetting and mitigating actions. But the other dynamic is this ongoing uncertainty and unpredictability and ability to predict their business and the future, and we're all working through that. Largely speaking, we have not seen that paralyze our customer base. We've seen them moving forward with ordering and with projects. And so the opportunity pipeline is robust and full even despite this economic uncertainty driven by the tariff outlook. That's sort of a broad general statement about the market as a whole. Our customers are certainly talking about tariffs, we have yet to see demand signals in our business that would indicate a downturn driven by tariffs specifically. When I think about our confidence in the second half, I'll make some comments on orders specifically because that's where the -- that's how we drive the business. Very, very strong first half, and I'll go by region, Steve, because I think that's a way to think about the business. That's certainly how the market is organized and how we run it. I'll start in Asia Pacific. We had a tough first half. The story in Asia Pacific is really driven around the China dynamic. China as a market is challenged and there's proliferation of price point competition within China, and that is now being exported to other geographies as well. So we've been challenged to deliver growth in China and also a bit in Japan, similar dynamic imports from China price point. Having said that, we see strength in our Australia business across the board. We had a solid first half and anticipate a solid second half. The pipeline of opportunity looks strong there, and we've got a significant strategic which for us are markets like Korea, Singapore, Malaysia, Indonesia, kind of a mixed bag. We're seeing some of the halo of the China effect in those geographies, but we've got some reasons for optimism as well. So I'm calling that kind of a flattish market outlook. And India is going really well for us. So we said in the script, we're not anticipating any improvement in APAC or growth in the second half, but it's really a mixed bag. And so we've got some geographies that we will point to for reasons to believe we can deliver the second half. Turning towards EMEA, really, we need a strong second half in EMEA. Let me tell you about kind of how we came through the first half and the reasons we're excited to believe we can deliver the second half in EMEA. We mentioned in the script; our first half challenges were predominantly in the Middle East and Germany. That's a combination of external factors, macroeconomic as well as some internal factors. We are reimaging our business, deploying our growth playbook in these geographies. And so we're experiencing some business disruption ourselves in the Middle East and Germany. Confident that we're on the right track and making solid changes for the long term, but some short-term disruption. Anticipating our TCS acquisition will deliver growth in the second half. That's our -- as a reminder, that's our Eastern European geographies. Really proud of the team in France. We delivered a strong Q2, and we need a strong second half out of France. We've been on a transformational journey in our business in France. So we believe we've turned the corner there. And really strong performance first half, and we expect it to continue in the second half in the U.K., Ireland and Spain and Portugal, we would call our South cluster. Strong businesses there, strong market position. We're winning orders, winning business across channels as well as across product categories. When I look at -- if I take a step back and look at EMEA as a whole, we are seeing the China price point imports across the geography, and that is representing a competitive threat. We have our product line extensions, which, as a reminder, are our platforms from our acquired businesses in Italy as well as China. We have cost point platforms we've deployed into the Tennant brand in these geographies to compete against the price point China competition. So we've got the tools and the tool bag to compete effectively there. In addition to that, we are seeing strong interest in our AMR product across the region. So we think we've got a significant upside in AMR, specifically as we move through the second half in Europe as well. And where we see the most growth in Europe, we can point specifically to our Elevate growth initiatives. And I mentioned places like the U.K. and then Spain and Portugal. These are areas where we have a more mature deployment of our growth playbook and our enterprise-level growth initiatives. And so it gives us confidence that much of the second half is within our control in Europe and globally. I'll just touch on North America, really strong first half. kudos and congratulations to the team. No shortage of reasons to be concerned in the North America. But we -- again, we see no demand signals from the North American business of any tipping in demand. We had a really strong first half in the Americas, led by double-digit growth in North America, and that's very broad-based growth across our channels to market, across our product categories, our new products, our Elevate growth strategies, we're growing in distribution. We mentioned in the call returning to normal seasonality. And what that means to us as a business is that Q2 and Q4 have historically been our strongest quarters. And I think we're seeing that drive some of our Q2 results as well as we saw a rebound in commercial, particularly in North America, driven by retail VSCs as well as education vertical. And there's a strong pipeline of opportunity in industrial as well. So I feel like we've got our arms around where we're winning, and we've got solid plans in place to continue to drive the growth into the second half.
Stephen Michael Ferazani: That's a great round up. In terms of the margin lift your sort of the guide kind of implies, is that pricing driven? Is it mix driven? Is it cost reduction driven? Or is it all 3?
David W. Huml: Yes, I can answer that, Steve. So from a margin standpoint, we anticipate growth in our EBITDA margin in the second half, right, as you pointed out, in line with our guided range. And I'd say the key drivers include: one, expansion of our gross margin rate. So we anticipate driving that through pricing ramp as we expect the impact of tariff-related cost increases to unfold in the second half. We will see additional absorption because we'll see increased volume flowing through our plants in the second half. So that's going to be one of the drivers of gross margin as well. And then also some stronger impacts coming from our cost-out initiatives. Now we also have the ability and discipline in our cost management to sort of flex our S&A and R&D levels. So overall, EBITDA in the second half, that's how we anticipate growing our EBITDA margin in the second half.
Stephen Michael Ferazani: And how much backlog conversion do you have left to lap in the second half? It's much lower, right?
David W. Huml: Yes, it's lower than the first half. Roughly call it, $75 million was lapped in the first half, and then we have an additional $50 million in the second half. So you're correct, lower. It's a lower comp from a backlog.
Stephen Michael Ferazani: And if I could get in one more just in terms of one of the things I would not have predicted was the outdoor sweeper. That was a little bit of a surprise. How long was that in planning? Was that a customer pull? Why you into that market now? Have you ever -- has Tennant ever been in that market before?
David W. Huml: Yes, great question. So if you're -- I've been here 10 years, and so you go back in my history at Tennant Company, we did participate in the outdoor market with a mixed bag of products that as we came through a period of enterprise strategy where we 80-20 the business, we made the strategic decision to exit those product categories. And we can spend a whole lot of time going into it. But broadly speaking, we were challenged to compete effectively in that marketplace, both from a cost perspective and also a channel go- to-market perspective. So how did we decide to move into outdoor? Listen, we set up a growth strategy, and we evaluated all of the market opportunities. And this outdoor space, it's important when we say outdoor sweeping, when we talk about outdoor sweeping, we're talking about industrial outdoor sweeping. There's also city cleaning and street sweeping that you could say are outdoor cleaning. We'll probably sell some units in those applications. Those are sold broadly through municipalities. But where we're targeting is really the industrial sweeping segment of the market. That's about a $200 million TAM. And so when we looked at it, we said, this is an interesting and attractive space. We've been here before. We have some other products that have found their way into these vertical markets or adjacent vertical markets. We've got the aftermarket service capability to keep these machines up and running, which is highly valued in these industrial outdoor sweeping applications. So the market was attractive, and we had a right to win there. So we looked at our opportunities to enter the market. We formed a strategic partnership to get a product into play that is built on our specifications, but is also costed at a point that we can compete effectively. So it's kind of a win-win for us. And so as we evaluate the opportunity, there's a chance to participate, grow our TAM, participate and compete effectively and profitably. And we think it could be an interesting over the long term, we can envision additional new products into the space to move into the other segments. But right now, this is an industrial outdoor sweeping space that is a very complementary product in our line and fits very well in our go-to-market, both our sales channels and our aftermarket service.
Stephen Michael Ferazani: So you're serving the same industrial customers. You don't need to expand the sales force.
David W. Huml: We don't need to expand the sales force to reach these customers. Either we're already serving them with other products and other applications or they're in a geography where we're already competing and we have sales coverage. And our sales force globally, but especially in North America and Latin America and traditionally in the Middle East and Asia, they are adept at selling -- we are adept to selling industrial equipment, large CapEx, heavy-duty, strong aftermarket component. It really plays to our strength in industrial sales and service. And so we looked at it and said, we don't need to build out an entirely new go-to-market. We also don't need to build out a bunch of new capability from an aftermarket service perspective. So it's really a nice complementary fit. And I really applaud the team as they looked at this opportunity and brought it up. We weren't sort of restricting ourselves to our past and saying, Oh, we exited this product 10 years ago. Tennant should never play there again. We went out and did a market back -- market-based research about what the options were in the marketplace, what customers were demanding in their application. And the team looked at it and said, we're fully capable of competing very well in the space and we can service customers very well. So we decided to go for it. I think this is one of the points I would point out when you pivot towards growth, you take a new look at the market opportunities, you just look in the rearview mirror, we're looking in the windshield or opportunities on every front.
Operator: Your next question comes from Aaron Reed with Northcoast Research.
Aaron Bruce Reed: So one of the things I wanted to follow up on more is you said around 6% of sales for North America is AMR. Is that correct? And I was wondering if you could tell us a little bit more about the deployment of the leasing program and how that -- well that's been received and if that's really increasing sales or opening opportunities that weren't necessarily available because that's pretty new right now.
David W. Huml: Yes, happy to. Thanks, Aaron, for the question. And just to clarify, the 6% number is an enterprise global number. So just to clarify the data point. Yes, really pleased with -- continue to be very pleased with our progress in AMR, but unsatisfied from the standpoint of disrupting Spark. We have a significant head start and a significant upside opportunity in front of us as we move decisively to disrupt this market with AMR. Specifically, you're talking about the EAS offering we call our Equipment as a Service offering, we call Clean360. We just developed that program and launched it in North America kind of coming into the quarter. We trained the team on how to sell it and how to sell the program. They are out pitching it. We've booked a handful of orders on the Clean360 program with significantly more orders in the pipeline where the customer is contemplating whether they want to do a CapEx purchase or move to Equipment as a Service offering. So we're pleased with the early returns. I think the team is capable, very capable of selling it. And I think it could be a very attractive alternative for some of our AMR customers as they contemplate adoption. But to me, it's just another tool in the tool bag. If you think about our entire go-to-market, our entire product portfolio in AMR, we are really well positioned. So we've got 6 products in the suite globally, led by most recently the X4 and X6 ROVR, which deliver a differentiated performance for the customer in their application. So lots of reasons to be excited about the X4 ROVR. I'll give you a data point on AMR since you asked, our year-over- year sales in AMR are up almost 20% year-to-date through the first half. And so that's a combination of both reorders and new sales of the Generation 2 products and the Generation 3 products, our X4 and X6 ROVR. But that's a really strong first half performance, and we think we've got a really strong opportunity pipeline as we look out in the second half.
Aaron Bruce Reed: And then another part I got -- maybe I'll turn around on this. It sounded like in terms of what segments were kind of underperforming here in the first half, it was I think that the industrials were not doing too well, but then you said that you're seeing really strong pipeline of orders going into the industrial space. I just want to make sure I understood that correctly. It was kind of a little bit weaker in the first half, but you're seeing a stronger rebound in the second.
David W. Huml: Yes. So industrial is where we're lapping the backlog reduction most predominantly because the backlog was comprised of industrial and North America. So we've got to be careful when we talk about industrial strength. We're behind last year because we were buoyed by all of the backlog reduction benefit in the first 2 quarters. And as Lorenzo said, it was about $75 million that we're lapping in the first half. Now we're going to lap another $50 million in the second half. So on a year-over-year comparison, you're going to see industrial lapping a difficult lap and being behind. My comment was more around the order activity and the pipeline of opportunities that have not yet materialized in orders we're on the constant lookout for demand signals from the business that would indicate strength or flattening or weakening. And as we look at our CRM and look at the opportunities that have been developed, talk to our customer-facing industrial sales team, they're still bullish on the year-to-date, and they're bullish on the second half and the opportunities we have. So my comment is more about the pipeline of opportunity and the order outlook heading into the second half. We're still bullish on industrial, even though optically, we're going to show the sales being behind year-over-year. Does that make sense, Aaron?
Aaron Bruce Reed: Yes, makes total sense. And I guess the last part is, so it sounds like your orders are picking up, things are doing well. Again, the lapping of the backlog kind of distorts what it's looking at here. But again, second half is looking good. From the time that the orders are placed to revenue being recognized, what's kind of the lead time on that just in general?
David W. Huml: Yes, a great question. It varies broadly across our product lines. So let me give you the 2 ends of the spectrum. Our smallest product is in stock ready to ship today. So you order, it's going to ship in the next 48 hours. When you think about our -- broadly speaking, our commercial line, those lead times are between days and up to a couple of weeks out to maybe 3, 4 weeks. So think about it in terms of days, weeks and months on the commercial products. When we get into our industrial products, it's more like 8 to 10 weeks lead time between order placement and shipments. And when you go up to the Z50 outdoor sweeper, if we don't have the exact model in stock, you're talking about over a quarter, 4, 5 months lead time between placing the order and our committed shipment date. So it's a pretty broad range across the spectrum of the product line. Again, if we've got the exact configuration in stock and in some of our highest moving products, we will stock those so that we can service fast turn orders. But we have a range of market competitive lead times across our entire product portfolio.
Aaron Bruce Reed: And one last question on pricing. So again, it sounds like you're able to pass on pricing that was successful. Do you expect to have any additional price increases later in the year? And then the other part too is, is there any unique or particular considerations you are having to address due to the potential semiconductor tariff that's been recently proposed, possibly hitting the AMR product category a little bit harder?
David W. Huml: Yes. Haven't evaluated the semiconductor tariff situation. I will tell you, our quantification of the potential tariff impact is exhaustive and comprehensive. So we look across all of the primary export products as well as if there's a derivative impact, meaning that our supplier buys a component that takes a tariff and then we get the end product. So we're monitoring both and how we try to dimensionalize what the tariff impact -- what the tariff impact will be. On pricing specifically, on the first part of your question, the pricing increase we put through in North America in Q2 was driven by and a necessity to help offset projected tariff impact. Now there's a lot of moving parts on the tariff impact as well as pricing realization and how the tariffs -- how the cost moves through and how the pricing moves through to offset it. But we have a level of confidence that we're in a position to use price as one of the weapons to offset tariff-driven impact in our P&L. And that's why we're comfortable and confident in reaffirming guidance. We are open-minded about another move on price, both in North America, the U.S. as well as elsewhere, depending on what the business dictates and requires in order to preserve and protect our profitability. If tariffs settle down and there's a reasonable amount of certainty, then we probably wouldn't have to -- in the outlook, we probably wouldn't have to move on price. But we're not reacting to every tweet, but there's certainly been a lot of movement in tariff enactment and delays and effectivity. And so it's really difficult to predict. I would just say we are open-minded and reserve the right to move on price as needed to help offset tariff impact in the second half.
Operator: Seems there are no more questions at this time, I would like to turn the call over to management for closing remarks.
David W. Huml: This concludes our earnings call. If you'd like to learn more about Tennant, we will be participating in the Sidoti Small Cap Investor Conference on September 17. Thank you for your continued interest in our company and have a great day.
Operator: This concludes today's conference call. You may now disconnect.